Operator: Good morning ladies and gentlemen, and welcome to the Third Quarter Fiscal Year 2017 Ocean Power Technologies Conference Call. My name is Latoya, and I will be your coordinator for today. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the presentation over to your host for today Mr. Andrew Barwicki. You may begin.
Andrew Barwicki: Good morning and thank you for joining us on Ocean Power Technologies conference call and webcast to discuss the financial results for the three-month period ended January 31, 2017. On the call with me today are George Kirby, President and CEO, and Matthew Shafer, Chief Financial Officer. George will provide an update on the Company's highlights and key activities for the quarter. Matthew will then proceed to review the financial results for the third quarter. Following our prepared remarks, we will open the call to questions. This call is being webcast on our website at oceanpowertechnologies.com and will be available for replay later today. The replay will stay on the website for on-demand review over the next several months. Yesterday, Ocean Power Technologies issued its earnings press release and filed its quarterly report on Form 10-Q with the Securities and Exchange Commission. All of our public filings can be viewed on the SEC website at sec.gov or you may go to the OPT website, oceanpowertechnologies.com. During the course of this conference call, management may make projections or other forward-looking statements regarding future events or financial performance of the Company within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to numerous assumptions made by management regarding future circumstances over which the Company may have little or no control that involve risk and uncertainties and other factors that may cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. We refer you to the Company's Form 10-K and other recent filings with the Securities and Exchange Commission for the description of these and other risk factors. And now, I’d like to turn the call over to George to begin the discussion.
George Kirby: Thanks Andrew and good morning everyone. Welcome to our third quarter fiscal 2017 earnings call. Today I'll review our business operations and provide an update on key activities and developments in the quarter. Matthew will then briefly review our financial results after which both Matthew and I will be available to answer any questions. We're excited to report that we continue to make concrete progress on our business strategy on a number of fronts. Throughout the last few months, we were able to progress our aggressive commercialization efforts by identifying and creating market opportunities, responding to customer requests or PowerBuoy proposals, developing collaborative and strategic channel partnerships, and delivering on our PowerBuoy release with MES. At the end of calendar 2016, we announced the completion of two ocean deployments, one which was our commercial-ready PB3, and a second one that was our precommercial unit. Upon final inspection and functional checks of our commercial-ready unit, it was shipped to Japan to fulfill the requirements of our lease with MES. The precommercial unit is undergoing a full upgrade to achieve commercial-ready status enabling us to aggressively respond to customer needs and opportunities. We've also began the production of our third PB3 unit in order to meet anticipated demand as we continue to respond to customer requests for proposals. In early May of this year for the first time ever, we plan to display a PB3 PowerBuoy, at one of the largest global offshore ocean technology events in the world; the Offshore Technology Conference in Houston Texas. This conference is well attended by decision-makers across each of our target markets and this is an opportunity for potential customers to closely examine our product and technology and to speak with OPT's leadership and the team responsible for bringing this product to market. We continue to believe strategic partners are an important part of our commercializing a new product. Partnerships can be used to improve the development of an overall integrated solution, to create new market channels, to expand commercial know-how and geographic footprint, and to bolster product delivery capabilities. One example which we announced in December is a joint marketing agreement with Sonalysts. We believe that Sonalysts brings expertise in subsea and surface communications, systems integration and big data management. In collaboration with Sonalysts, we've engaged with potential end-users and decision-makers in maritime subsea communications, as well as in the traditional telecommunication market as it relates to cellular and Wi-Fi range and extension applications or Wi-Fi overwater. We believe that our combined capabilities uniquely position us to address specific application requirements which result in a strong customer value proposition. We also announced a joint application development and marketing agreement with HAI technologies. HAI is an innovative company focusing on bringing new capabilities to the oil and gas industry to reduce cost, increase field productivity and streamline operations. We believe our combined technologies and capabilities can create a value multiplier in areas of the oil and gas industry. We've continued our accelerated life testing achieving well over 55 million cumulative strokes across our fleet of power takeoffs with no material failures. We believe this continues to provide significant credibility to the reliability and cost savings value propositions for our target markets. We've also made progress in the development of our PB15 design which is a scale up of our PB3 PowerBuoy. The PB15 is poised to become a critical element of our product portfolio as we believe it will enable us to access applications where additional power is required. We also continue to manage our PB3 lifecycle plan where we're working to remove product costs while maintaining its high level of reliability. We've continued the execution of our contract with the office of Naval Research and are now preparing to begin testing areas of the mass on spring power take off. As we mentioned earlier, one of our PB3 units is now on its way to Japan to fulfill contractual obligations with MES and its anticipated to arrive in Tokyo later this month. Upon clearing customs, it will be shipped to Kozushima Island on a barge and prepared for a deployment in early summer. We continue to see momentum in our commercialization efforts. We've been responding to requests for proposals from multiple customers such as oil and gas operators and service providers. Applications range from subsea battery charging to providing oversight and security for deep sea production site to metocean data collection and communications. As a result of this activity, we continue to increase our commercial capabilities through new hires in marketing and business development and through engagement of expert market consultants. We continue to believe that by acquiring new skills, we can maximize our market outreach and new business opportunity creation. I'll now turn it over to Matthew who will review our financial results in the quarter.
Matthew Shafer: Thank you, George and good morning everyone. I will now review results for the third fiscal quarter of 2017 before we open up the call for questions. For the three months ended January 31, 2017 we reported revenue of $221,000 as compared to revenue of $5000 for the three months ended January 31, 2016. This increase in revenues compared to the prior year was due to our contracts with MES and ONR in the current year. The net loss for the three months ended January 31, 2017 was $2.1 million as compared to a net loss of $2 million for the three months ended January 31, 2016. The slight increase in net loss is primarily due to a lower income tax benefit in the current year which was mostly offset by a decrease in product development costs in the current year from the prior year. For the nine months ended January 31, 2017 we reported revenue of $593,000 as compared to revenue of $605,000 for the nine months ended January 31, 2016. Revenue decreased in the current year compared to the prior year as a result of the contracts with MES and ONR in the current year having slightly lower revenue than the WavePort contract with the EU for our project in Spain and billable work under prior contracts with the DOE both of these were in the prior year. The net loss for the nine months ended January 31, 2017 was $6.9 million, as compared to a net loss of $9.1 million for the nine months ended January 31, 2016. The decrease in our net loss is due to lower selling, general, and administrative costs, product development costs, the fair market value of the common stock warrants liability, and income tax benefit in the current year as compared to the prior year. Turning now to the balance sheet. As of January 31, 2017 total cash, cash equivalents and marketable securities were $11.1 million, this is up from $6.8 million on April 30, 2016. As of January 31, 2017 and April 30, 2016 restricted cash was 300,000 for each period. Net cash used in operating activities was $7.6 million for the nine months ended January 31, 2017. This is compared with $8.1 million for the nine months ended January 31, 2016. As discussed in prior conference calls, we continue to take steps to achieve reduced cash burn rate while focusing our technical operating and business development resources on key initiatives particularly commercializing the PB3. We anticipate having sufficient cash into the quarter ended January 31, 2018. With that I turn the call back over to George before we open the call for questions.
George Kirby: Thanks Matthew. Before we move on to Q&A, I'd like to take a moment to emphasize our utmost focus on aggressive commercialization, continued product testing, strategic partnership development and market-driven product engineering which make up our multipronged strategy. We believe our market development efforts are starting to pay off as we received customer request for proposals which leverage our PB3 PowerBuoy. We continue to meet with the telecommunications market focusing on applications such as 4G and Wi-Fi overwater and we're seeing what we believe to be a keen interest in leveraging the tremendous capabilities of our PB3 PowerBuoy. We're making progress and securing new important partnerships that are essential to our commercialization and our product - as well as our product delivery capabilities. And we're bringing additional resources on board to augment our market and technical expertise. We believe the outlook for our upcoming fiscal year is a positive one. We're committed to stay in the course and driving hard to close opportunities in front of us, while developing and securing new ones. Thank you for your interest and time today. And operator, we're now ready to take questions.
Operator: [Operator Instructions] The first question is from Peter Ruggiere of Dawson James. Your line is open.
Peter Ruggiere: How you're doing George?
George Kirby: Hi Peter. Good to hear from you.
Peter Ruggiere: It's great. I made it here in New York and actually got a chance to get on the call which is nice. A lot of questions for you. You know about project [Balloon] [ph] which with Google and a one offshore - they have these glimpse in the stratosphere, and they get back and forth and they are known as LTE there. Does the PowerBuoy actually sit out there and actually do Wi-Fi to those Balloons, is that possible?
George Kirby: We are aware of that project for sure and we've spoken with Google in the past. In the past they had focuses in different areas but this particular project in particular, we've looked at, they are potentially some opportunities but we believe that Google is looking to perfect and optimize their existing technology first but absolutely there's ways for Wi-Fi overwater to communicate both above and below the ocean surface.
Peter Ruggiere: Yes, that would make sense. Another thing - now you got enough money to go all the way so like first quarter of 2018, when do you actually pull the trigger and actually want to raise more money, is it like 3, 6 months prior to it or actually let me rephrase that. You had the contract with Navy from Defense i.e. milestones on that. When do you see actually any type of like revenue coming from something right now because you have everything going for you guys, I mean…
George Kirby: Peter, that's a great question. We're actually seeing revenue come in right now from MES from ONR. What we're looking to do is increase that revenue. We're going out and driving market demands. It's all hands on deck right now with everybody that is focused on business development are out there pounding the pavement, we're looking for real revenue opportunities. Those revenue opportunities are oftentimes going to be preceded by application demonstration projects. It's a natural step of the commercialization process, the sales process. Like any capital equipment our PowerBuoy is a long lead time item in terms of the sales process. It takes a while in order to affect the sale and we are at the stage now where we're addressing requests for proposals around demonstration projects which will - which would ultimately lead to revenues. So those demonstration projects are around actual applications using our PowerBuoy so it's not to demonstrate our PowerBuoy effectiveness, it's to demonstrate our PowerBuoy used within the customer application and these demonstration projects often times take three, sometimes nine months depending on the customer requirements. But again we're focused on identifying real revenue-generating opportunities and once that we can replicate around the globe, right, so not just one-off revenue opportunities but ones that multiple customers are going to see arise over the coming years. So does that help you?
Peter Ruggiere: Yes, it does. Why do you sell your PowerBuoy or so much better than everybody else's?
George Kirby: Well we're the only ones with the PowerBuoy out there. The only solutions that are persistent and provide the levels of power that we do without engaging or interference with expense of vessels are battery buoys, they are smaller buoys, they have batteries on board that often times have solar panels that charge the batteries but often times those solar panels become soiled, they are ineffective at higher latitudes, and they have the - end-users have to send vessels out the site hundreds of miles off-site in order to maintain those buoys. Otherwise the next best solution is actually keeping a vessel on-site, on-station and providing diesel power. And I think it's easy to see that's a very expensive proposition. So there is a very big space there that we're filling and nobody else is providing perpetual power, enough power to not only power the applications but also provide real-time communications from site back to land to make real-time decisions.
Peter Ruggiere: That surprisingly sounds like it a - could be a big thing for you guys. But you understand where the stratosphere goes back and forth, now that's stuff - that would make sense. Different question now, when do you pull the trigger and when you actually want to raise money or if I rephrase that, do you see yourself getting any type of contracts somewhere over the next like six months?
George Kirby: Look, we're working hard on proposals that are right in front of us. We're working with customers on real opportunities and trying to bring those to fruition. We're not going to be able to comment on when we think they will come to fruition. We're optimistic that we can drive at least some of them to closure but as to when we're not ready to comment. In terms of capital raise, as Matthew laid out we have enough capital to run us through January of next calendar year. So right now we are hyper focused on commercialization. At sometime in the future, we might need to seriously reevaluate how we move forward from our capital needs but right now we’re focused on commercial.
Peter Ruggiere: So right now clear, good. All right, pleasure talking to you.
Operator: [Operator Instructions] There are no further questions in the queue. I'll now turn the call back over to Mr. Kirby for any closing remarks.
George Kirby: Thank you all once again for attending today's call. And if you have any further questions, please don't hesitate to contact us. Otherwise we'll look forward to speaking with you at the end of this fiscal year.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect.